Operator: Good day, everyone, and welcome to the i3 Verticals Third Quarter 2023 Earnings Conference Call. Today’s call is being recorded, and a replay will be available starting today through August 16. The number for the replay is 877-344-7529, and the code is 5255024. The replay may also be accessed for 30 days at the company’s website. At this time, for opening remarks, I would like to turn the call over to Geoff Smith, SVP of Finance. Please go ahead, sir.
Geoff Smith: Good morning, and welcome to the third quarter 2023 conference call for i3 Verticals. Joining me on this call are Greg Daily, our Chairman and CEO; Clay Whitson, our CFO; Rick Stanford, our President; and Paul Christians, our COO. To the extent any non-GAAP financial measures discussed in today’s call, you will also find a reconciliation to the most directly comparable GAAP financial measure by reviewing yesterday’s earnings release. It is the company’s intent to provide non-GAAP financial information to enhance understanding of its consolidated GAAP financial information. This non-GAAP financial information should be considered by each individual in addition to but not instead of the GAAP financial statements. Conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, including statements, among others, regarding the company’s expected financial and operating performance. For this purpose, any statements made during this call that are not statements of historical fact may be deemed to be forward-looking statements. You are hereby cautioned that these forward-looking statements may be affected by the important factors, among others, set forth in the company’s earnings release and in reports that are filed or furnished to the SEC. Consequently, actual operations and results may differ materially from those discussed in the forward-looking statements. Finally, the information shared on this call is valid as of today’s date, and the company undertakes no obligation to update it, except as may be required under applicable law. I now like to turn the call over to the company’s Chairman and CEO, Greg Daily.
Greg Daily: Thanks, Geoff, and good morning to everyone on the call. We’re excited to present our third quarter results for the fiscal year. This quarter we set another record for revenue and adjusted EBITDA, which were up 17% and 26% over the same quarter last year, which reflected our improving margins. We continue to focus on bringing excellent software to our vertical markets. We monetize these solutions primarily through recurring sources of revenue through a variety of means such as software-as-a-service or SaaS, which grew at 20% over the prior year, or volume based payments fees, which grew at 14% over the prior year. Depending on our needs of our customers, we can align incentives and lock in sustainable long-term growth. Overall, software and related services revenue made up over 50% of total revenue Rick will elaborate on M&A later, but we continue to explore opportunities. There are many in our markets of focus, such as Public Sector. Our standards are very high and we are patient and disciplined. We want deals that fit our culture and offer us more tools to execute in our vertical strategy. However, to say that our team is staying busy despite the slower pace of M&A would be an understatement. We have seized on the moment to accelerate internal optimization and are proud of the strides we have made. We’ve always intentionally counter positioned ourself against private equity for other strategic buyers who would focus on quick wins, short-term home periods, and aggressive synergies. This has served us well in leading into acquisitions of many great businesses at attractive financial profiles. We have retained incredibly talented people and have accomplished this mostly through a proprietary pipeline of M&A. The word is out that i3 can be trusted with your business, which might be your life’s work. However, when the deals close, there is much integration work that is necessary. This is where our culture makes the difference. Those [ph] close, our sellers quickly see what can be accomplished together, and I’m always amazed at the willingness to collaborate, embrace new business practices and be team players. Some of the areas that our team has centralized and upgraded this year include our enterprise RFP response team and enterprise support team, and consolidation of many of our professional services functions. These joined many other shared services such as marketing and accounting, and legal that are always continuing to improve. These wins have the business clicking on all cylinders to illustrate that we are proud to announce two state level wins from our Justice Tech and Transportation divisions of Public Sector. We’ve never been better positioned to compete in many more similar processes, and I’m excited about the additional detail Rick has to share. The first, I’ll turn the call over to Clay and he will give you more details on our third quarter financial performance. Following Clay’s comments, Rick will provide more detail and update on the business and address M&A. Then we’ll open up the call for questions.
Clay Whitson: Good morning. The following pertains to the third quarter of our fiscal year 2023, which is the quarter ended June 30, 2023. Please refer to the slide presentation titled Supplemental Information on our website for reference with this discussion. We had another great quarter with record revenues and adjusted EBITDA. Revenues for the third quarter increased 17% to $93.9 million from $80.6 million for Q3 2022, reflecting organic growth and acquisitions. Our revenue yield improved to 150 basis points for the quarter from 136 basis points for Q3 2022. Organic revenue growth for this quarter was approximately 10%, benefiting from a reasonably strong quarter for sales of software licenses, which totaled $2.8 million. Although, software license sales are not a part of annual recurring revenues, we keep highlighting this line because it has higher variability in recurring revenue streams and can help explain changes in organic growth from quarter-to-quarter. ARR totaled $311.4 million for Q3 2023 compared to $266.7 million for Q3 2022, a growth rate of 17%. Over 80% of our revenues in the quarter continued to come from recurring sources. Software and related services remained the largest portion of our revenues representing over 50% for Q3. Payments represented 45% and other 5%. Adjusted EBITDA increased 26% outpacing revenues to $25.3 million for Q3 2023 from $20.1 million for Q3 2022, reflecting continued momentum in our Software and Services segment. Adjusted EBITDA as a percentage of revenues increased to 26.9% for Q3 2023 from 24.9% for Q3 2022, reflecting margin improvement in our Software and Services and Merchant Services segments. Pro forma adjusted diluted earnings per share increased to $0.38 for Q3 2023 from $0.37 for Q3 2022. Again, please refer to the press release for a full description and reconciliation. Segment performance, revenues in our Software and Services segment increased 23% to $58.9 million for Q3 2023 from $47.8 million for Q3 2022, reflecting broad based growth in our Public Sector vertical and Healthcare verticals. Public Sector represents over half of our consolidated business. It includes the education sub-vertical, which deserves special mention. Revenues in our education sub-vertical continued a strong rebound, thanks to organic sales to new school districts and higher lunch and activity fees at existing districts. Federal and state lunch subsidies have decreased significantly since the pandemic. The segments adjusted EBITDA improved 33% to $20.8 million for Q3 2023 from $15.6 million for Q3 2022 outpacing revenues. Adjusted EBITDA as a percentage of revenues improved to 35.4% for Q3 2023 from 32.7% for Q3 2022, reflecting high margin Software and Services acquisitions such as Celtic over the past year and a return to traditional high margins in education. The AccuFund acquisition effective January 1 was high margin as well. Revenues for our Merchant Services segment increased 7% to $35.0 million for Q3 2023 from $32.7 million for Q3 2022, reflecting growth in our B2B and ISO channels. Adjusted EBITDA for our Merchant Services segment increased 16% to $10.2 million for Q3 2023 from $8.8 million for Q3 2022 outpacing revenues, both our B2B and ISO channels improved their profit margins, reflecting slightly better revenue yields and good cost management. Our balance sheet remains strong and well-positioned for 2024. On June 30, we had $272.4 million borrowed under our revolver net of cash. The face value of our convertible notes are $117 million. As of June 30, our total leverage ratio remained approximately 4.0 times. The current constraint is 5 times under our new $450 million revolving credit led by JPMorgan Chase. The interest rate for the convertible notes is 1%, while the interest rate for the revolver is currently around 8.5%. Over time, we expect to convert roughly two-thirds of adjusted EBITDA into free cash flow, which can be used for debt repayment, acquisitions, and earnouts. We define free cash flow as adjusted EBITDA minus capital expenditures, internally capitalized software development, cash interest and cash taxes. Outlook, we reaffirmed the guidance we gave when reporting our fiscal Q2. Fiscal Q3 was in line with our expectations and we have not closed an acquisition. With only one quarter to go, we could have narrowed guidance ranges, but the midpoint remain the same, which are our own best estimates of where we think things will shake out. Revenues, we do not expect quite as large as step up from Q3 to Q4 as we saw last year. The end of free lunch in education last year represented a $2 million sequential step up from Q3 to Q4. We also had our largest historical quarter for software license sales of $3.5 million in Q4 last year, a $1.4 million sequential step up from Q3 last year. On the flip side, our adjusted EBITDA margins – margin has trended well, running 2 percentage points ahead of last year, and we expect that to continue for Q4. As in the past, we will give guidance for fiscal 2024 when reporting our fiscal Q4 of 2023. I’ll now turn the call over to Rick for company updates and pipeline.
Rick Stanford: Thank you, Clay. Good morning, everyone. I’ll start with updates on the business and then cover M&A. When I sit down to prepare for this call each quarter, I think about where we have been, where we are today, and where we want to be tomorrow. 11 years ago, when Greg spoke to me about his idea to create a software company comprised of a few different verticals with integrated payments, I immediately liked it. We worked together on a strategic plan and began quickly executing it. When I look back at that plan today, little has changed from the original design. Today, we have completed 48 acquisitions. Since going public in June of 2018, both run rate revenue and EBITDA have more than tripled from $101 million in revenue and $28 million in EBITDA. At this point in our evolution, we are devoting more effort to creating one team with one brand focused on driving results together. Over the last six months, we’ve aligned many departments and sub-companies in the public education and healthcare sectors under a common i3 Verticals model. The alignment, augments, infrastructure and development resources across both vertical and enterprise service delivery areas. To ensure domain expertise, many of the resources are being combined with like roles from sister vertical sub-companies. Adoption has been enthusiastic and increased infrastructure and development synergies are strengthening sales, product development, operations, implementations, and deployment. In addition, these internal customer facing markets are being bolstered by i3 teams focused on enterprise level infrastructure, security, cloud services, development, and project management. Given the vertical alignment success, we are aligning the entire organization so that we operate as one cohesive company. As a result, we have adopted and refined our shared services model and brought individual sub-company departments to a coordinated and cohesive enterprise level. The enterprise level teams historically consisted of finance, marketing, HR, and legal. We have added an RFP response team, professional services, infrastructure and security. Resources are being deployed to meet organization-wide operation and sales support while maintaining vertical and domain expertise. Our marketing team is coordinating with vertical heads enterprise wide to position our messaging in a strategic effective manner. The enterprise level marketing team coordinates with dedicated vertical market and product managers to ensure domain and brand continuity as all entities are actively working to brand this i3. The enterprise solutions group comprised of 170 team members from across the organization, which includes enterprise support, RFP response, professional services, client migration, implementation and integration who have both vertical product and functional expertise and will serve all verticals company-wide. The group delivers a seamless, consistent client focused experience throughout software implementations. The unification of the RFP team, project management and professional services is expected to increase services revenue and decrease the time between contract signature and client delivery. Our enterprise RFP response team is comprised of domain experts from across the organization. The team is creating precise, comprehensive, and unified proposals to RFPs and RFIs in our most strategic markets, including public, education, healthcare, and payment technology. We’re investing in this team to meet increasing demand from large utilities, healthcare systems and statewide public entities. Our unified approach to research and writing, solution engineering, negotiation and legal review has been effective thus far and we are winning new deals under this model. We were committed to leveraging robust technological solutions, so we are accelerating our cloud migration strategy for critical technology over the next two years. Our cloud first approach to delivering technology includes a blend of both public and private cloud providers. We have strategic relationships with both AWS and Microsoft who are assisting us with this transformation. By remaining cloud agnostic, we choose the best technology to deliver optimal solutions to our customers. The cloud empowers us to adapt swiftly to evolving customer needs, ensuring that we can provide real time solutions, seamless interactions, and state-of-the-art data security. We use Microsoft 365 to improve our abilities in the areas of identity and access management, threat protection, information protection, and security management. We are utilizing Azure virtual desktops to manage global resources from a centralized platform while integrating seamlessly with other Microsoft tools across the enterprise. We are currently working on a single sign-on solution based purely on Azure Cloud technology to allow our customers to log into our software applications and services using a single set of credentials. Our payment technologies utilize AWS Fargate to deploy and manage serverless containerized applications in a secure, highly available redundant manner, allowing us to autoscale our applications when needed to handle spikes in customer demand. AWS allows for seamless integration with third-party tools such as Cloudflare, giving us the ability for automatic failover between the AWS geographic regions resulting in zero downtime during events such as software deployments. We are also using instances of artificial intelligence in select customer service environments, in all circumstances, the knowledge base is internal to i3 and responsive to the specific product solutions, where there is market acceptance. We are leveraging i3 India to enhance costs and speed to market when developing our proprietary vertical, enterprise and payment technologies. i3 India gives us access to skilled talent, allowing for improved delivery utilization. Our focus is on rapid development tools such as low code to accelerate certainty of execution and speed to market. We have implemented an enterprise-wide agile software development lifecycle, giving us flexibility to meet market demands, enhanced quality for better user experience, and a customer-centric approach focused on collaboration, continuous improvement and transparency. The Public Sector continues to see positive market response to our wide range of solutions. With the support of aligned marketing enterprise solutions and RFP teams, i3 public successfully sold and deployed enterprise level solutions. Our Justice Tech division closed a five-year contract with a state level judiciary AOC to deploy our online dispute resolution product and our utility vision expanded its portfolio with a Tier 1 utility with our digital customer engagement portal solution and our payments. In addition, the transportation division specifically the formerly known Celtic part of that group won a significant state level DMD solution under the i3 brand in the Midwest. The software suite being utilized by the state includes our IFTA, International Fuel Tax Agreement, IRP, International Registration Plan, and UCR, Unified Carrier Registration integrated modules. Third quarter sales in education sector are strong and contribute to a record year for i3 Education. As a result of focusing on software sales and strategic partnerships, we are adding more than a 100 new districts to our customer base across the spectrum of the i3 Education software suite. i3 Healthcare Solutions and strengthening its market position by closing enterprise deals, leveraging enterprise and vertical specific synergies. i3 Healthcare expanded their reach in the state of Louisiana and Alabama. They also formalized a new partnership with a state level respected health science system to deliver RCM services. Adoption of the common i3 alignment model within i3 Healthcare has yielded improved profit margins for professional services and has produced record utilization rate for the quarter. This has allowed us to do more with fewer resources. i3 Healthcare software engineering team delivered an integrated solution between our EHR and medical billing platforms to facilitate the delivery of patient statements and payment portals to further monetize the process. i3 Healthcare is engaged in a highly focused business process strategy to optimize current business processes and look to new service delivery technology, leveraging artificial intelligence, machine learning, and robotic process automation. It should also be noted that all verticals have adopted a unified sales force to represent the entire product suite of the respective vertical. In addition, i3 has enterprise software suite that spans all verticals and can be sold by the entire i3 sales force. Products include TrueSign [indiscernible] digital community portal, kiosk, and the i3 PayTech product suite. Market and vertical support, implementation, integration and deployment are provided by the i3 enterprise solutions group. I’ll now speak to M&A. We looked at several companies this past quarter, but elected not to execute any term sheets. This stems largely from our desire to bring the offer multiples down and agreeing on price. We are remaining disciplined on what we will pay for a deal. Also, pre-diligence must check out. We can determine early if a company will be a good fit, if the financials make sense, and if we can grow and further monetize through the company. If not, we gracefully back away from the table. Our pipeline continues to be full of companies in both Public Sector and Healthcare coming in and going out of the pipe. We expect that we will continue our normal pace of acquisitions and are not concerned about our ability to do deals in the future. In the meantime, we’ll continue to focus on growing the company, streamlining operations and paying down debt. As usual, we continue to self source our acquisition targets. This concludes my comments, Megan. At this time, we’ll open the call for Q&A, please.
Q - Matt VanVliet: Yes, good morning. Thanks for taking the question. I guess, first, as you look across the pipeline ahead, how are you feeling about a number of large deals, any specific verticals where you feel like the pipeline is maybe even more robust than the rest of it as you’ve had some really recent – good recent success here and how some of those reference customers are helping you help us just kind of look towards the next few quarters on where you think you’ll see the most strength.
Greg Daily: So Public Sector still dominates our pipeline. We’re – it’s still a very tickle, how well it’s performing. Healthcare has though picked up activity. I would say, last quarter, Public Sector was probably 80% and Healthcare was in the balance of that. It’s more probably 60-40 in the pipeline with Public Sector still leading the way. As far as large deals concerned, I think we’re still sticking to our sweet spot. We would do one if it came along, but it’s not something that we have a – in our pipeline that I foresee us doing in the next year. So $1 million to $5 million of EBITDA is still our sweet spot. Our multiples are probably in the 6 to 8 times now that we feel like it’s a fair price along with an earnout stock options are our normal plan, but feel really good about the pipeline. And it seems like it had slowed down six months ago that the activity in the last 60 – 30 to 60 days has been pretty amazing.
Matt VanVliet: Okay, very helpful. And then as you look at a number of the newer products you’ve rolled out, and maybe more importantly, the shared services teams now over – the overlaying a number of your vertical go-to-market teams. How are you seeing overall deal sizes trend? Are you seeing customers maybe buying more than one module up front? Or is this still a little bit more of a land and expand strategy in the shared services teams are just helping everyone be a little more informed on what the opportunities are after landing?
Rick Stanford: So good morning, Matt. Yes, so we – our model typically is sell one product and then go in with the second and third and fourth and so on over time. The fact that we’ve got enterprise level teams working across the entire vertical. Our salespeople as well as our product teams are aware of the entire suite. So I think we’re able to offer two and three more products at a time at this juncture, because we have an expanded knowledge across the vertical as far as the proprietary software that we’ve created in house that spans all verticals. We continue to push that and train our customers on the availability of those products.
Matt VanVliet: Great. Thank you. Appreciate the questions.
Operator: Our next question comes from Peter Heckmann with D.A. Davidson. Please go ahead.
Peter Heckmann: Good morning, gentlemen. Thanks for taking the question. When you think about the – kind of the largest deals from a – from an RFP standpoint that you’d be willing to go after, when you’re – whether you’re talking about TCV or annual contract value. Are these deals going to be $1 million, $2 million a year? I mean, do you see the potential for winning deals that could be, let’s say, $40 million over five years?
Paul Christians: This is Paul Christians. We are seeing in our – because of our RFP team and depth in history and the Public Sector and Healthcare to a degree, a more natural – a little bit more of a natural movement to larger enterprise opportunities that are – that require multi products for execution on those. That’s just we’ve been seeing that over the last several years, it’s beginning to get a little bit more steam at this point, given the recognition and the joining of Celtic and BIS for that whole Transportation sector. That’s been useful for us and in our court systems as well. So generally, we see that those deals tend to be – we don’t see them as often as what we see county or municipal level deals. So they tend to surface with – without any consistent regularity, but we’re very happy where we’re positioned with this.
Greg Daily: I think one of the key things is the duration. I mean, these are five and more and more seven year contracts.
Clay Whitson: I would say that we’re talking $5 million to $10 million deals where we ne never saw those, and now we are responding to a couple of those per month and…
Greg Daily: Correct.
Clay Whitson: It’s early, but we’re optimistic about winning a fair amount of those larger deals over five to seven years. We feel really good about our pipeline.
Peter Heckmann: Great, great. I mean, certainly we’ve seen it, I think you have statewide deals in, I don’t know, 15 states, four or five Canadian provinces. So clearly doing it, but the potential is there and those type of deals provide some great visibility to recurring revenue. In terms of ramping those up, I mean, I know that each – many of the companies that you’ve purchased had existing software solutions. But typically, how do you think about the any either implementation work on professional services or kind of discretionary custom development that you might have to do for some of these deals? As you move up, does that get a little bit more significant or not?
Rick Stanford: I do believe it gets more significant, but we also have more resources that we’ve historically had in an organization aligned to support that. So the movement to enterprise level and the ability to ramp domestically and with i3 India gives us a high degree of comfort to be able to continue to do that and enhance the certainty of delivery even over what we’ve done historically.
Greg Daily: Their existing technologies got to be 20 years old, maybe 30. And so we are definitely bringing them out of the dark edges. COVID helped us, but it’s quite dramatic what we are installing versus what they’re using today.
Peter Heckmann: Right, right. Okay. And if I could just squeeze just one more in, in terms of thinking about the business, 10% organic growth in the quarter, that’s great, in terms of – do you have a preliminary thought for fiscal 2024? I mean, were we thinking high single digits is appropriate?
Clay Whitson: We are thinking high single digits. This year education provided a tailwind as free lunch went away, and we saw that in the fourth quarter of fiscal 2022. So – but we’re still thinking high single digit, which is consistent with what we’ve guided since the IPO.
Peter Heckmann: Great. I appreciate it. Thanks.
Clay Whitson: Thank you.
Operator: Our next question comes from John Davis with Raymond James. Please go ahead.
John Davis: Hey, good morning guys. Rick and Greg appreciate all the comments on M&A. But Greg, I want to dig in a little bit on your comment around valuations. What are you seeing from a private market perspective, obviously, public markets have reset, but it seems like there’s still a little bit of a hang-up? So is that the biggest hurdle to doing deals today? And then how do you think about, is your valuation and what you’re willing to pay? I assume it’s impacted by the fact that you’re kind of paying 8% on the debt, so the hurdle becomes higher. But just curious, like, what the big hang-up is and how you guys think broadly about kind of paying down debt versus doing M&A?
Greg Daily: Great question. Valuations, we self source the deals, JD, so they believe us, they trust us, very rarely do we talk multiple. We send them a term sheet that says, here’s $15 million for your $3 million worth of EBITDA. We move that up with an earnout based on growth. We give them stock options. If it is a deal that is fantastic, we’ve done a deal with Milestone, we’ve done one with SSI. And these companies are growing dramatically perfect fits. And then so we probably paid, 8, 9 or 10 times and gave them a sweet earnout that we don’t – those deals don’t come across our desk very often, but we’re being conservative on valuations, because I think we have a lot more to choose from. I mean, it seems like we used to do half of the deals we look at. Now, we do less than 10%. We’re pickier. We’ve got – we don’t need more case management systems. We’ve got five of them. And it – a lot of it boils down to the person, I mean, I walk back into the office after a meeting in Houston last week, I go – I wait till you meet these guys that I just met. And that’s big. We’re looking for 40-year old family owned software businesses that need upgraded, that need shared services, that need marketing, legal, it’s all about timing.
John Davis: Okay. That’s helpful. And then Clay, just – I heard Rick’s comments about kind of moving to the cloud over the next two years. You guys have historically guided to 50 to 100 basis points of kind of organic margin expansion. Any reason why that move to the cloud would pressure that, could that help margins eventually? Just curious you guys are making lots of investments and kind of streamlining the team going to market under one brand, also moving to the cloud. Just curious on how we should think about the margin and the impacts there.
Clay Whitson: Yes. I do think we will achieve 50 to 100 basis points again in 2024. Moving to the cloud is temporarily a headwind for margins. But we have other things going in our favor. In the long run, it will help margins significantly, because instead of updating, all these on-prem instances of software as you can update once and it just ripples out to all your customers. You noted in your note last night that our corporate expenses had gone up as a percentage of revenues, and that’s true. The big driver of that is we hired a new CTO last year, about a year ago, and he rightly recommended that we beef up our security, our project management, our development capabilities, and so we’ve done so. So that’s been sort of a step up in investment for us, and I think we’re seeing the benefits of that.
John Davis: Okay. No, that’s helpful. And then good to see the 10% organic growth relatively consistent, I think if you normalize that line with the last several quarters. But if you look at the networks, I know a lot of your businesses not very cyclical in government and education and healthcare. But have you seen any sort of kind of slowdowns, you pointed us to the midpoint of the guide for the full year. Any pockets, any quarter date updates – sorry, any pockets of weakness or any thoughts on trends in July and so far in August?
Greg Daily: Well, going from our Q2, which is March quarter to our Q3, which is the June quarter, we always have a little education. They close schools in the middle of May, and then they’re closed in June. So education is weak during that period. Going into Q4, education came on like gangbusters last year because they did away with free lunch. And so we’ll still have a strong education quarter in September, but it won’t be the big step up from the previous year’s comparison that you saw in Q4 last year.
John Davis: Okay. But…
Clay Whitson: So – and then I think it’s – we should always keep our eye on our software sale – license sales line item. We had our biggest quarter ever in Q4 last year of that, and we generally expect every quarter closer to $2 million. And so I don’t think the step up from Q3 to Q4 is as big for those two reasons as they were last year.
John Davis: Okay. That’s super helpful. But no, you’re not seeing any sort of pockets and weakness, whether it’s your kind of small restaurant business or everything’s just kind of humming along as you’d expected.
Clay Whitson: Yes. Everything’s good. Healthcare has really picked up activity. No, I can’t think of any pockets of weakness.
John Davis: Okay. I appreciate all the color guys. Thanks.
Greg Daily: Thanks, JD.
Operator: Our next question comes from Mark Palmer with Berenberg. Please go ahead.
Mark Palmer: Yes. Good morning. Just wanted to ask about the opportunity to introduce payments to your Healthcare vertical, what your current thinking is with regard to that opportunity? What the timing of a rollout could look like and what that would involve?
Greg Daily: We’re actively involved in that today. It’s important given the software delivery and the respective service being delivered that we have that be seamless to our customers. And we’re doing that today and actively in our initial harvesting and investing in additional sales personnel to accelerate that across the spectrum.
Rick Stanford: It seems like Healthcare is probably 20% of our business is somewhat on a roll that we penetrated payments single digit I mean 5%, 6% at best case. And so it’s a great question. It’s a big project priority in the second or third inning of where we need to be.
Mark Palmer: And how should we think about the improvement to ARPU associated with the attachment of payments to Healthcare?
Greg Daily: We didn’t understand.
Clay Whitson: The improvement of what?
Mark Palmer: To ARPU, the incremental revenue per customer that would result from attaching payments to Healthcare?
Clay Whitson: Well, I don’t think it’s as large as some of our verticals like education, for example, where this is a field where insurance pays the majority of the bill. And so it’s a lot of co-pays on the front end. And so while it’s significant, it’s not what you might see in education, for example.
Greg Daily: It could be as high as 20%.
Mark Palmer: Very good. Thank you very much.
Operator: Our next question comes from James Faucette with Morgan Stanley. Please go ahead.
James Faucette: Thank you very much. Wanted to ask really quickly follow-up on margins and growth is that, you mentioned kind of the hiring CTO and that there bits increased expenses associated with that and certainly your qualitative commentary seems to indicate that you are focused a bit more on integrations and advancing the capabilities of your solutions. I’m wondering how we should think about like the – what that does for margins. You indicated it’d be a little bit of a headwind, but what’s the long-term potential there? And I guess tied into that, how much of your growth right now is coming, if any at all from being able to put through pricing changes perhaps related to CPI conditions in contracts, et cetera? Thanks.
Clay Whitson: Well, on margins, I do think our long-term guidance is still 50 basis points to 100 basis points a year. Some of the streamlining we have done not only delivers a better product to the market, but does result in some cost savings because we’ve just had duplicate functions internally in a lot of areas resulting from some of our acquisitions. We are trying to keep pace with inflation. If you look at our revenue yield and Merchant Services, for example, we increased a basis point this quarter, which is not big, but we’re staying even with increases from Visa, Mastercard, our costs that we’re passing through. So we’re doing that, we’re doing modest increases in software as well. Just trying to keep pace with inflation, it’s no secret everybody has some wage inflation. So we’re able to keep pace. Our style has never been to raise prices, and so in some cases when we do, we haven’t raised them in 10 years and our customers understand. So we do have the ability and the resolve to pass-through cost increases. But IT long-term, it’s – it’ll be a net win getting to the cloud. In the near-term, it’s a little bit of a headwind, but we have other things such as streamlining keeping us ahead on the margin front.
James Faucette: Great. Thank you
Operator: [Operator Instructions] Our next question comes from Charles Nabhan with Stephens. Please go ahead.
Charles Nabhan: Hi, good morning, and thank you for taking my question. As we think ahead to next year, on the top line, it seems like things are going to be pretty clean from a comp perspective. Celtic went in on October 1 and you’re distancing yourself from some of the COVID-related boot recovery. But I guess my question is, if we think about the cadence of revenue growth throughout the year, is there anything notable to call out in terms of large go lives or license renewals that could swing one quarter or another higher or lower?
Clay Whitson: No, really as you point out, it is a pretty clean comp. We acquired Celtic on October 1, and the year before that we acquired ACS our healthcare company on October 1. AccuFund was a small acquisition January 1. But so that would just leave us in the absence of more acquisitions, which I think we will make more acquisitions, but until we do, I think it’s just our normal seasonality. And Q4 is always a good, which is the September quarter is always a good quarter. Back to school is good there. December weakens a little bit for payments in our Public Sector. Q1 is strong for payments in our Public Sector. Q2 is weak in education because of school closures, but all of those are just normal seasonal patterns that would make a difference between quarters next year.
Greg Daily: If there was a spike, we would – it’d be very explainable. I mean, we could put a finger on it and say, this is exactly what happens.
Rick Stanford: On professional services.
Clay Whitson: Yes. That the one-time software sales line does vary every quarter and it usually explains the difference. But as you’re modeling, I think just a little bit of organic growth throughout the quarters every quarter also would explain the distribution next year.
Charles Nabhan: Got it. And just as a follow-up, I noticed in your M&A commentary that the lower end of your EBITDA target guide, it’s a little lower at $1 million than it’s been in the past. I think in the past you said $2 million to $5 million or $2 million to $6 million, and I know we’re focused on the larger deals, but does that reduction indicate a willingness to do smaller deals or is there any specific area in your product mix that you think might be filled like such as an AccuFund with a smaller – an acquisition on the smaller side?
Greg Daily: Yes. AccuFund is a perfect example of why I said one. They were a smaller deal and they’ve been fantastic. Beyond our expectations, it’s – there is some small deals if we could find another deal like AccuFund with the management and the software and the whole that maybe we have in our offering, we would do that. But we really aren’t crazy about the small ones, but they really have to be perfect.
Charles Nabhan: Got it. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Greg Daily for any closing remarks.
Greg Daily: Thanks, everybody. I’m going to ask Geoff Smith to talk about something just briefly that I know that John Davis asked about M&A and paying down debt. Why don’t you walk through kind of our thoughts on paying down debt over the next 18 months?
Geoff Smith: Yes. Sure. So I think something that you’ll see when you look at like the last five months is we stepped up our leverage to do Celtic to do a deal that we thought was a really good value for us. And since then we’ve been staying very disciplined, bringing down our leverage into our credit facility refinancing was a really big win. We also had a number of earnouts this last year. So the rate at which, and the velocity at which we were paying down debt coupled with higher interests, a little bit lower as we kind of turned through some of those earnouts and you can see that on our balance sheet, the position we’re in with those has come down. I think that over the next the visibility we have through the next fiscal year, the rate at which we pay down debt will be a little bit higher. And we’ve previously spoken to the market that we can do north of $100 million a year of M&A assuming 10 times multiples. And in this current environment, as Greg alluded to earlier, we hope to do much better than that, right? We can do significant amounts of M&A just off our free cash flow. So we’re really happy with where we are in terms of scale crap [ph] and our ability to grow organic grow with M&A, but just grow with our cash flow. I think the word that kind of hang on this would be we plan to be very disciplined on this find the right opportunities. Greg was just speaking about our ability to do deals that are larger or smaller. It’s a smaller deal and it’s a strategic fit that takes sometimes as much effort as a larger deal. We can do that and we’re willing to do the work to get something that’s going to be a great asset for us, and it’s going to grow. And so we think we’re in a really good position in M&A. The opportunities that are out there remain really exciting, but we’re staying disciplined to make sure we get the right deals at the right value.
Greg Daily: Great. Great. Well, again, thanks everybody for joining us. A special shout out to our team. They are just remarkable. And I love it. So anyway, have a good day. Thanks, everybody.
Operator: The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.